Operator: Good day, and thank you for standing by. Welcome to the Cytek Biosciences Second Quarter 2023 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Paul Goodson with Investor Relations.
Paul Goodson: Thank you, operator. Earlier today, Cytek Biosciences released financial results for the quarter ended June 30, 2023. If you haven't received this news release or if you'd like to be added to the company's distribution list, please send an e-mail to investors@cytekbio.com. Joining me today from Cytek are Wenbin Jiang, CEO; and Patrik Jeanmonod, Chief Financial Officer. Before we begin, I'd like to remind you that management will make statements during this call that are forward-looking statements within the meaning of the federal securities laws, including statements regarding Cytek's business plans, strategies, opportunities and financial projections. These statements are based on the company's current expectations and inherently involve significant risks and uncertainties that could cause actual results or events to materially differ from those anticipated. Additional information regarding these risks and uncertainties appears in the section entitled Forward-Looking Statements in the press release Cytek issued today and in Cytek's filings with the SEC. This call will also include a discussion of certain financial measures that are not calculated in accordance with generally accepted accounting principles. Reconciliation of the most directly comparable GAAP financial measure may be found in today's earnings release submitted to the SEC. Except as required by law, Cytek disclaims any duty to update any forward-looking statements, whether because of new information, future events or changes in its expectations. This conference call contains time-sensitive information and is accurate only as of the live broadcast, August 8, 2023. Before I finish, I want to mention that we are planning an Investor Day in late November in New York, where we will look forward to sharing more about our business. We will update you with details as we get closer to the event. With that, I would like to turn the call over to Wenbin.
Wenbin Jiang: Thanks, Paul, and welcome, everyone, joining our second quarter earnings conference call. On the call today, I will discuss our results for the second quarter as well as our progress across our 4 key strategic pillars to drive growth. Then I will turn the call over to Patrick for a more detailed look at our financials and an update on our outlook for 2023 before we open it up for Q&A. Starting with our second quarter results. We achieved $49.7 million of total revenue, representing growth of 24% year-over-year. This included approximately $8.2 million of revenue from the product lines acquired from Luminex. Excluding acquisition-related revenue, our organic revenue was $41.5 million. Our results were driven by improvements across the U.S., particularly with our pharma and the biotech customers, where others that were delayed at the end of the first quarter, began to come in. Yet we continued to see impact from our biopharma customers in Europe during the second quarter. Overall, while the macroenvironment continued to be somewhat challenging, these results are a testimony to our dedicated efforts to operate our business efficiently and effectively, all while further growing our sales across the globe, diversifying our revenue base and executing on our product strategy. Patrick will provide more detail on our financial results momentarily. Cytek continues to stand apart in the field as we provide our customers with an end-to-end solution consisting of instruments, reagents, software and application services. We are focused on driving growth and diversifying revenue streams. In addition, we expect our recent acquisition of the flow cytometry and the imaging business from Luminex will open new markets and applications. As we complete the integration of the acquired business over the course of this year, we are taking proactive measures to optimize our business operations and advance our overall strategy. I will share more details on our progress with the integration shortly. As I have mentioned before, we operate our business according to 4 key pillars, each of which is integral to our long-term growth. These pillars, which are: instruments; applications; bioformatics; and the clinical, help execute our overall strategy and we believe will drive excellent growth over the longer term. Starting with instruments. During the second quarter, we placed 112 instruments from our organic sized portfolio. Altogether, this installed base has now reached 1,878 instruments. This does not include the in-store instruments of Amnis imaging and Guava macro capitalist product line acquired from Luminex, which also continued to grow during the quarter. Collectively, these organic and acquired instrument [placements] that presents growth across diverse applications spanning entry level to high dimensional cell analysis. We cater to a broad spectrum of customers and provide tailored applications to meet their specific needs. Looking ahead, we look forward to driving instrument adoption across our product portfolio. This growing installed base will also create a receptive market for new instruments that we plan to launch in the coming years, leveraging Cytek's advanced technologies alongside the powerful technology acquired from Luminex. During the quarter, we proudly shipped our 100th Cytek Aurora Cell Sorter system launched in June 2021. The Cytek Aurora sales order builds upon the remarkable FSP capabilities of our Aurora sale analysis system, delivering unparalleled high sensitivity performance at the single cell level. It empowers researchers to effortlessly and seamlessly resolve and solve even the most challenging cell [operations], propelling discoveries and the optimizing efficiency in cell analysis workflows. It is exciting to see how full special profiling analysis is taking hold and redefining the new normal in the field. This further motivates us to forge ahead with unwavering dedication, shaping the future of cell analysis. Turning next to applications, which include our reagent, [indiscernible]. Revenue from reagent [indiscernible] continues to be a fast-growing product area, highlighting the increasing demand for our offerings, which are focused on making the user job easier, faster and more accurate. We continue to actively collaborate with our partners to expand our reagent portfolio and develop application-specific kits. In June, we launched the cFluor myeloid-derived suppressor cells or MDSC Kit optimized on our FSP platform, significantly broadening the application manual for our customers by offering them enhanced capabilities and flexibility in their research and analysis. With this launch, we are addressing a wide range of research needs across various applications, particularly in cancer research and therapy development where myeloid-derived suppressor cells play a crucial role. Broadening our manual of applications is a critical part of our strategy that helps us both meet the needs of our existing customers and helps us attract new customers seeking comprehensive solutions. The breadth of our applications can be seen across the wide range of peer-reviewed publications that include our technology. During the second quarter, there were 139 new peer-reviewed publications mentioning Cytek, bringing the all-time number of publications to over 1,300. With the growing number of peer-reviewed publications featuring our products, researchers are inviting Cytek's innovative solutions to drive advancements in scientific research. As an example of how significant some of these research efforts are, 2 recent papers highlight the power of our technology in immuno-oncology applications. The first paper published by biotechnology companies, [Neoleukin] and [A14B.io] in cancer immunology research elucidates the signaling mechanism of melanoma tumors that are resistant to immune checkpoint inhibitors. They also showed how their therapeutic candidate developed using synthetic biology techniques improved on the natural therapeutic process of innate cytokine. The second paper published in [Nature] by clinicians at the Cedars-Sinai medical center describes how bladder cancer cells adapt to survive and identify biomarkers for improving cancer immunotherapy. Our informatics is our third strategic area. A key part of our bioinformatic strategy is enabling our customers to streamline their experiment workflow. To that end, we are excited to share that the user engagement and demand for the Cytek Cloud launched the late last year has been bringing exceptionally well. Cytek Cloud's digital ecosystem offers a comprehensive suite of special panel design tools seamlessly integrated into a centralized platform. This cutting-edge solution empowers researchers to prepare and optimize their experiments remotely, streamlining the process from panel design to data acquisition. The accelerated time to insight is invaluable across a broad range of applications from immunology to oncology, infectious diseases and inflammatory diseases. The success of Cytek Cloud not only benefits our extensive existing user base, but also paves the way for future users as we continuously enhance its capabilities, incorporating data management, sharing and analysis features. With Cytek Cloud at the forefront, we applied to revolutionize single cell analysis to drive groundbreaking discoveries and to propel scientific research to new heights. One topic we have not discussed previously is scientists use of artificial intelligence and machine learning to enhance the value of our instruments. Cytek cells [orders] use machine learning to optimize sorting as well as to analyze droplet shape, automatically making flow rate adjustments and performing as a function. The Amnis AI software is based on deep machine learning and is a modified version of an AI platform that won the ImageNet challenge. Turning to our clinical opportunities. Several of our products are approved for clinical use in both China and the European Union, where our most common sales for clinical applications is the Northern Lights CLC system accompanied by our growing cFluor reagent product portfolio. In both China and the European Union, the clinical market is an attractive long-term business opportunity for Cytek. As a reminder, we are preparing to submit our products for FDA clearance in the U.S., where we believe our powerful FSP platform is cleared, will bring enhanced diagnostic power and the visibility to the benefit of patients by providing doctors a clearer and a more detailed view of each patient's condition Part of our clinical strategy is to collaborate or partner with other organizations for development of clinical applications. These partnerships underscore our commitment to providing customers with comprehensive solutions and driving innovation with cutting-edge technology. We are actively engaged with partners for opportunities across product development and clinical treat advancement. To that end, we are excited to share about our initiative with the Swiss Flow Cytometry School and the Geneva University Hospital focusing on minimal residual disease or MRD detection in leukemia and lymphoma. We are working diligently with the Geneva University Hospital to harness the potential of MRD analysis using our advanced technologies and tailored solutions. As we continue to collaborate with key partners and institutions, we remain dedicated to expanding our clinical reagents offering and furthering our full solution provider mission. Now I would like to spend a moment to discuss our progress with the integration of Luminex Flow Cytometry and Imaging business. As we have shared, this acquisition provides important contribution to our technological ability, product range, customer base and commercial reach. After approximately 5 months into integration, we have completed several important milestones and still have some key steps ahead of us. Our Amnis operations in Seattle are now fully integrated and functioning. We are pleased with the smooth transfer of operations. Additionally, we have made remarkable progress in independently manufacturing the Guava product line. The transfer of Guava manufacturing to Cytek's facility is nearing a successful completion. This strategic role enables us to consolidate our manufacturing operations, which, in turn, is expected to yield substantial cost-saving advantages for the company, driving improvements in gross margin for Guava instrument. We are confident that the final stage of this transfer will be executed seamlessly. From a commercial perspective, we have cross-trained our commercial personnel on the new technologies, that is Amnis and Guava product, to Cytek employees and the Cytek products for our new team members from Amnis and Guava. In addition to cross training, we launched cross-selling plans targeted at Cytek [FSP], Amnis and Guava products. With our integrated commercial team, we are enhancing our ability to offer comprehensive solutions through our value to customers. We continue to be excited by the value of the Luminex acquisition in both the near and the long term. The near-term value of this acquisition consists of the significant cross-selling opportunities and the service operation efficiency improvements with the fully integrated sales and the customer service team. In the longer term, there are a number of new products we plan to introduce by combining FSP imaging and microcapillary technologies. Cytek's acquisition and the integration of the Amnis and Guava product lines has provided a great opportunity for Cytek to transition from a technology-oriented company to a market-driven business. Historically, our operations have been guided by the technology we have developed with the foresight to recognize major market opportunities for our full special technology in disease research, drug development, translational medicine and clinical applications. While these opportunities are abundant and growing, we now have a large addressable market and new product opportunities through Amnis and Guava. To better address these markets, we have combined the original Cytek sales team with the Amnis and Guava sales team, which will significantly increase our global reach. With that, I will now turn the call over to Patrik for more details around our financials.
Patrik Jeanmonod: Thanks, Wenbin. Total revenue for the second quarter of 2023 was $49.7 million, a 24% increase over the second quarter of 2022. This included approximately $8.2 million of revenue from the products and services acquired from the Luminex transaction, which closed on February 28. This was our first full quarter of recognizing revenue from these product lines. Organic revenue, excluding the acquired products and services was $41.5 million, an increase of 3% compared to the same period of 2022. While the macro environment was still somewhat challenging during the second quarter, we did see improvements across the U.S., particularly with our pharma and biotech customers, as orders that were delayed at the end of the first quarter began to materialize. On a non-GAAP constant currency basis for the quarter, revenue was $50 million. Gross profit was $28.2 million for the second quarter of 2023, an increase of 15% compared to a gross profit of $24.6 million in the second quarter of 2022. Gross profit margin was 57% in the second quarter of 2023 compared to 61% in the second quarter of 2022. Adjusted gross profit margin in the second quarter of 2023 was 60% compared to 64% in the second quarter of 2022 after adjusting for stock-based compensation expense and amortization of acquisition-related intangibles. Operating expenses were $37.3 million for the second quarter of 2023, a 47% increase from $25.5 million in the second quarter of 2022. The increases in OpEx were primarily due to expenses related to increased headcount from the Luminex acquisition and personnel-related expense across R&D, sales and marketing and G&A. Over time, as revenue increases, we expect these expenses to become a smaller portion of our overall revenue. Research and development expenses were $12.1 million for the second quarter of 2023 as compared to $8.4 million for the prior year period. Sales and marketing expenses were $14.4 million for the second quarter of 2023 as compared to $8.4 million for the prior year period. General and administrative expenses were $10.8 million for the second quarter of 2023 as compared to $8.6 million for the prior year period. Loss from operations was $9.1 million for the second quarter compared to a loss from operations of $0.9 million for the second quarter of 2022. Net loss in the second quarter of 2023 was $4.4 million compared to a net loss of $0.7 million in the second quarter of 2022. Additionally, adjusted EBITDA in the second quarter of 2023 was positive $1.5 million compared to positive $4.8 million in the second quarter of 2022 after adjusting for stock-based compensation expense. Cash, cash equivalents and short-term investments were $298.8 million as of June 30, 2023. Now turning to our guidance for 2023. We continue to expect our full year revenue to be in the range of $205 million to $220 million, representing overall growth of 25% to 34% over full year 2022. This is comprised of revenue from our existing organic business to be in the range of $180 million to $190 million and a total of $25 million to $30 million of revenue contribution from the business acquired from Luminex. This assumes no change in the rate of foreign exchange as well as some continued impact from elongated sales cycle from our biotech and pharma customers. With that, I will turn it back over to Wenbin.
Wenbin Jiang: Thanks, Patrik. Cytek has continued to demonstrate our commitment to developing tools, reagents and the software to advance the next generation of cell analysis. I would like to express my deep gratitude for the team we have here at Cytek. It is their excellence, hard work and [share], the belief in our important mission that drives strong progress. We believe Cytek is particularly well positioned to address multiple opportunities, given the power of our advanced technologies, the strength of our capital base, the growing awareness of our extended product portfolio and the extraordinary talent of our employees. I'm confident that our daily work around -- under our 4 pillars, adhere to and execute our overall strategy. I want to thank everyone for joining today's call, and we will now open it up for questions. Operator?
Operator: [Operator Instructions] Our first question comes from Andrew Cooper with Raymond James.
Unidentified Analyst: This is Noah [ph] standing in for Andrew. My first question is that given all the noise with the funding environment, I'm just curious to see what you're seeing on that front with your second quarter results coming in pretty healthy as well as a contrary tone relative to others in the space? So what are you seeing on that front?
Patrik Jeanmonod: Yes. So what we've seen is that the overall -- especially in the U.S., we've seen increased demand, and we've been able to turn those into sales. But we have also seen bigger pharma coming in. So overall, I think the -- I wouldn't say the funding is back, but we've seen a quarter that was more in line with what we would expect compared to our Q1 numbers.
Unidentified Analyst: And if I can get one more in. Are you -- like is there any disparity in what is working in the current macroenvironment in terms of, let's say, higher end versus lower end? Because it seems like FCI did pretty well and the core Cytek as well. But does anything jump out on that front in terms of higher versus lower end products performing in a certain way?
Patrik Jeanmonod: I would say that -- and I'm going to also let Wenbin chime in. But overall, I think we had a spread of all the instruments. And obviously, we are seeing now increase of demand for the sales order, which is a high-end product.
Wenbin Jiang: Yes, absolutely. And the cells [order] definitely is an area that we have enjoyed some healthy growth here.
Operator: Our next question comes from Matthew Sykes with Goldman Sachs.
Unidentified Analyst: This is Eve Kozlowski [ph] on for Matt. So what gives you confidence in your guide given the pickup of growth implied for the back half versus the first half of the year? And what kind of visibility do you have for the remainder of the year?
Patrik Jeanmonod: Well, that's a great question. Yes. So obviously, the -- looking at the -- first of all, looking at the macroenvironment and with the probability of a recession going down, I think we feel more upbeat about the second half. Having more boots on the ground with the combined sales team and being fully trained, that gives us increased confidence. But we also expect to see accelerated growth in the instrument sales on -- again, on continued demand of our analysis, but also accelerated demand for the Cell Sorter, which has been very well received. Remember, we crossed that 100-instrument mark just a few months ago. So we see continued demand for that. Finally, also expecting continued growth on some of the recurring business that we have. The service business has been very strong for us. So a number of items that will drive the growth in the second half.
Unidentified Analyst: And then China, I know last quarter, you noted particular strength in that market. Has that continued and has there been any changes to the competitive environment there? And also, does your additional investment in facilities, that help your positioning versus local competitors?
Wenbin Jiang: Actually, Q2 overall, our China business continued to enjoy the healthy growth comparing to the same period last year. And indeed, there are local competitors coming, but they are mostly in the entry level and the lower end, which we don't really overlap that much.
Operator: Our next question comes from Steven Mah with TD Cowen.
Steven Mah: A follow-up question on the U.S. pharma and biotech strength that you saw. Could you give us a sense, was it broad based amongst your customers? Or was it weighted to a certain profile of the customer, such as like emerging biotech versus larger companies that were catching up?
Wenbin Jiang: Actually, as you recall, and we had some delay in order during the last month of Q1. And quite a lot of those actually came back in Q2. That actually helps us with -- regarding to our overall pharma business during the Q2. On the other hand, we will continue to see elongated sales cycle from pharma, biotech. Nevertheless, the business remains over there. It just takes a longer time to close.
Steven Mah: And just to dig in on what you said. So you're still seeing elongated sales cycles then?
Wenbin Jiang: Relatively speaking -- Yes, correct. Relatively speaking, it takes a longer time and for us to close the deal. But they are not gone. They are still there. The demand is still there.
Steven Mah: So you're not -- so is it still the case that you're still seeing demand? You're not necessarily losing business. It's just that the sales cycle is being elongated. That's still what you guys are saying?
Wenbin Jiang: Yes, correct.
Steven Mah: And then if I could sneak in one more question. You talked about specifically some European weakness. Could you give us a little bit more color about market dynamics ex U.S.? I know you already talked about China, but more specifically, some of the European weakness that you mentioned?
Patrik Jeanmonod: Yes. So it's true that the European business has been a little bit lagging behind the U.S. and APAC at this point. Yet, typically, the European market is much stronger in the second half. So we expect that market to pick up in the next 6 months.
Operator: Our next question comes from Tejas Savant of Morgan Stanley.
Unidentified Analyst: This is Edmond [ph] on for Tejas. I appreciate all the color here on China so far. But I just wanted to dig into this a little bit more. It sounds like it's been performing very well for you guys, but your tools -- peers are noting deteriorating conditions in China. So I'm just wondering what's causing this difference in views or what you guys are seeing? Are you guys being insulated to a certain degree by innovation versus other products?
Wenbin Jiang: I think... Yes, even in the tool space, you may see the difference between the current reagents revenue versus tool. And clearly, we continue to enjoy the incentive plan happen, starting from Q3, Q4 last year. And now coming back to see how it's going to perform during the second half of the year, this is still something we are assessing. And indeed, I think there are a lot of difficulties that we have been hearing about in China, but how it might impact us in the second half is still something to be seen.
Patrik Jeanmonod: Yes. And I would just add to that, [Edmond]. Flow is not a new technology. So we are also enjoying a demand for replacement. We are enjoying also demand because of the fact that we have -- So overall, I think we should expect to see continued demand compared to maybe some other tool companies.
Unidentified Analyst: And on the last call, you guys noted that there were certain features of the Guava that need to be implemented into the Northern Light before you guys can accelerate the conversion of the user base. Can you provide some more details on that? And I was just wondering, how are you guys balancing between incorporating these features into the Northern Light to drive that user base's adoption versus focusing on the next-generation platform that you're going to develop with the Amnis imaging capabilities?
Wenbin Jiang: I think these are 2 different products, like 1 year the high end of the market, focusing more for these customers in the discovery or collabs and comparing to the Northern Life or Guava features. So we do have teams actually working on these 2 subjects in parallel. We have different teams on different projects.
Unidentified Analyst: And then, Wenbin, you alluded to potentially larger addressable market now that you have these Luminex products in your portfolio. Could you clarify on that a bit?
Wenbin Jiang: As you can see, clearly, previously, our organic products focus more towards pharma, biotech and those discovery and translation, while Guava more towards industry QC, those type of entry-level customers. Now -- combining these 2, now we have a product portfolio that can meet the needs across varieties of user base applications.
Unidentified Analyst: So has your overall TAM changed since your prior views?
Wenbin Jiang: Not really over TAM has changed. It's just we have more targeted products to focus on different user base.
Operator: Our next question comes from David Westenberg with Piper Sandler.
David Westenberg: So sorry, I'm going to go ahead -- since familiar topic on China. I don't know if you can quantify it, but the remaining assumptions in the guide on China. I don't know if you want to give us a number or say it's steady state from what you had. But just to really help us understand, like, maybe if there is further slowdowns or further commentary, how much of that guide would be at risk in that?
Patrik Jeanmonod: Yes. So David, we don't really break out the guide this way. But we've revised our guide, as we do all the time, and we still feel good about where we are with the guide for the year, considering the funnel, and we look at the funnel, looking at all the region. So I will maybe leave it with that.
David Westenberg: And continuing on with the guidance, and I realize there's some integration between the Luminex flow cytometry products and the legacy products. But I think you called it out as $8.2 million of the Luminex revenue in Q2. I think your guidance for $25 million to $30 million, if I kind of take that same run rate, like I would assume a little bit of growth or acceleration from what you had in this quarter. Is that the right way to think about it? Was I getting the -- was I reading the press release correctly when I'm looking at that?
Wenbin Jiang: It doesn't work that way. Typically -- and you know the business, right. Typically, we are a third month company and most of the orders come in during the third month. But on the other hand, from Luminex perspective, right, we only have about 10 months for the year. And so if you work that numbers, pretty much that will get to what we have projected for the whole year.
David Westenberg: Can you talk about, if there's been any surprises, positive or negative, from the portfolio now that you've had it since February? And then kind of continuation of that question, how is the integration going with the sales team? Is there any synergies that you're getting there that maybe you didn't call out at first? And is there any opportunities to rationalize the sales force or reorganize the sales force from here?
Wenbin Jiang: I'm not really surprised, but we do have learned a lot through this integration, right? And especially regarding to the technology embedded in the Luminex product portfolio, more we see the value of this acquisition. And we do feel -- and it's going to help us not just for this year, or actually for the years to come.
David Westenberg: And since I think I am the last of 5, I'll squeeze in one more because I can do that. So on the reagent, you used the word fast-growing in the prepared remarks. So can we assume, when you're using that kind of commentary, this is growing faster than instruments here? Is that the assumption now? That's my last question.
Patrik Jeanmonod: Yes, David, it's growing faster than the -- our total revenue. Yes.
Operator: I am showing no further questions at this time. This concludes today's conference call. Thank you for participating. You may now disconnect.